Operator: Good morning. My name is Ivy, and I will be your conference operator today. At this time, I'd like to welcome everyone to the Victoria's Secret & Company First Quarter 2024 Earnings Conference Call. Please be advised that today's conference is being recorded. All parties will remain in a listen-only mode until the question-and-answer session of today's call. I would now like to turn the call over to Mr. Kevin Wynk, Vice President of External Financial Reporting and Investor Relations of Victoria's Secret & Company. Kevin, you may begin.
Kevin Wynk: Thank you, Ivy. Good morning, and welcome to Victoria's Secret & Company's first quarter earnings conference call for the period ending May 4, 2024. As a matter of formality, I would like to remind you that any forward-looking statements we may make today are subject to our Safe Harbor statements found in our SEC filings and in our press releases. Joining me on the call today is CEO, Martin Waters; and CFO, Tim Johnson. We are available today for up to 45 minutes to answer any questions. Certain results we discuss on the call today are adjusted results and exclude the impact of certain items described in our press release and our SEC filings. Reconciliations of these and other non-GAAP measures to the most comparable GAAP measures are included in our press release, our SEC filings, and the investor presentation posted on the Investors section of our website. Thanks. And now I'll turn the call over to Martin.
Martin Waters: Thanks, Kevin, and good morning, everyone. I'm pleased to report that first quarter results exceeded or met our expectations for the quarter on all key financial metrics. We experienced sequential improvement in quarterly sales trends for the third consecutive quarter in North America in both our stores and digital business for both Victoria's Secret and PINK Brands. We delivered meaningful newness in merchandise and brand projection during the quarter and our customers responded, particularly in April, which was our strongest month of the quarter. In North America, the improvement in trend was evident in both our store and digital businesses. From a stores perspective, we experienced significant improvement in traffic in April, meaningfully outperforming the balance of the all. In terms of our digital business, the investments we've made to improve the customer experience resulted in digital sales performance outperforming stores. Traffic levels in our digital channels improved, with April as the strongest month. And our conversion continues to grow, driven by improving customer experience and positive customer receptivity to our improving merchandise assortments. From a market perspective, we are encouraged to see that sales trends in the intimates market in North America improved quarter-to-quarter, and we recognized a similar improvement in our intimates business performance in particular in March and April timeframe. Our combined Victoria's Secret and PINK market share in the intimates category remained at about 20%. We were also encouraged to see our digital market share in both bras and panties, along with an increase -- increase along with our sports bra market share. From a merchandise category perspective, Victoria's Secret beauty business continues to be our best performing category with year-over-year growth for the third consecutive quarter and was followed by improving performance in panties and bras. The combined intimates and beauty business for Victoria's Secret was about flat in the quarter compared to last year. PINK experienced improving sales trends throughout the quarter and April was the strongest month for the brand in the last several quarters, with bras, sleep and apparel as the best performing categories, helping to offset a slow start to the quarter. The retail environment in North America was challenging and the promotional environment was very competitive. But importantly, our gross margin rate in the quarter was above last year, and we were disciplined with traffic-driving offerings for our customers and managed our inventories well, which were down 5% compared to last year. In addition to improving North American trends, our international business continues to have real momentum, with net sales up 16% in the first quarter compared to last year. International system-wide retail sales increased low-double digits in the first quarter and we continue to deliver profitable growth across stores and digital as compared to last year. International sales in the first quarter were driven by significant year-over-year growth in China and globally with our franchise and travel retail partners. We're optimistic about sales, profit and growth opportunities for all of our partners around the world and remain on track with the growth plans we discussed at our Investor Day in October 2023. Our adjusted SG&A rate in the quarter was better than our guidance, primarily due to disciplined and proactive expense management initiatives to drive incremental efficiency within our operating model. The combination of SG&A and buying and occupancy dollars were down slightly to last year. At our Investor Day in 2022, we committed to transforming the foundation of our company and established a $250 million three-year goal, and we're on track to meet that goal, and we believe we've demonstrated our commitment to continually focusing on efficiencies within our operating model and improving the cost structure of our business. Aside from the financials, over the last 90 days, we have executed several key actions in support of our strategy and brand positioning for the long-term. For example: We continue to develop our understanding of the Victoria's Secret and PINK customer through our multi-tender loyalty program, which has now been active for one year. We have 30 million members who drive about 80% of our sales on a weekly basis. Through insights and data, we're focused on turning our understanding of our customer into world-class seamless customer experiences. We continued to introduce newness in bras with the relaunch of our number one bra collection, Body by Victoria, with all-new styles and our latest innovation offering lightweight design that smooths, shapes and supports without an ounce of padding. In March, we launched a campaign focused on our top-rating sports bra, Featherweight Max, available in a variety of new colorways, and also featured our Flex Sports Bra and Flex Leggings with Invisible lift technology, as well as our Elevate Compression Leggings. In April, we launched our Escape to Summer collection featuring all new swim, intimates and sun-ready pieces to wear day or night, as well as our iconic archive swim styles that are beloved by our customers. The new swim collection has been designed to celebrate our heritage in a fresh and modern way. As part of our commitment to expand our categories, we continue to introduce new swim products under the collaboration -- collaborative label PINK x Frankies Bikinis that celebrates the iconic PINK brand reimagined through the lens of founder and creative director of Frankies, Francesca Aiello. In May, we announced the Victoria's Secret Fashion Show is coming back in 2024. The show will deliver precisely what our customers have been asking for, the glamour, runway, fashion, fun, wings, entertainment, all through a powerful modern lens reflecting who we are today. We're thrilled to share this iconic property later this year. As we look forward, albeit with some caution around the broader retail environment in North America, we're planning the business in an appropriately conservative way in the near term, but are encouraged by April and the month of May was a solid start to the second quarter. We're optimistic about the positive signs we're seeing and remain focused on accelerating our core by leveraging our market leadership position and delivering on multiple initiatives to drive growth in our business, including product innovations to enhance Victoria's Secret brand, the reimagined merchandise strategy for PINK, new customer experience enhancements in our digital business, and of course, our multi-tender loyalty program. For the second quarter of 2024, we're forecasting sales to decrease in the low-single digit range compared to the second quarter of 2023. This forecast reflects performance to start the quarter and tracks in-line with the trajectory we've discussed for 2024, which assumes the broader intimates market in North America will remain promotional and could remain pressured throughout the first half. At this level of sales, we're forecasting second quarter adjusted operating income to be in the range of $30 million to $45 million. For fiscal year 2024, we're reaffirming our forecast and expect sales to be about $6 billion or down low-single digits to comparative 52 weeks from fiscal 2023. Our forecast assumes that trends improve throughout the back half of 2024. At this forecasted level of sales, we expect our adjusted operating income in 2024 to be about $250 million to $275 million. Lastly, as we've shared consistently inside and outside the business with the long-term health of the business in mind, we remain committed to our strategic priorities: firstly, to accelerate our core; second, to ignite growth; and thirdly, to transform the foundation of our company. As we look into the balance of the year, we're committed to the initiatives designed to leverage our market leadership position and unlock our opportunity to convert our significant cultural influence into long-term financial growth. Thank you. And that concludes our prepared comments. At this time, we'd be more than happy to take any questions you might have. Over to you, Ivy.
Operator: [Operator Instructions] For our first question, we'll go to the line of Simeon Siegel from BMO Capital Markets. Please go ahead.
Simeon Siegel: Thanks. Hey, good morning. Hope you're all doing well. Martin, you mentioned the Fashion Show returning. How are you thinking about marketing this year? Maybe speak to the work you did to come to this decision. Any change in signaling a shift in the marketing, imagery, messaging? Just anything you could speak to that? And then just a more nuance, did the April strength comment include PINK as well? Any thoughts how you're thinking about the progress of the stabilization of -- and turnaround of PINK? Thanks.
Martin Waters: Yeah, thanks, Simeon. Appreciate the question. I'll take the second one first. So, yes, PINK performance definitely improved in April. April was the strongest month for PINK that we've seen in a long time, frankly. And it was driven by strength in new merchandise, particularly wink bra, cinched corset, we had some success with flared bottoms. As I mentioned in the prepared remarks, the PINK x Frankies was big, sports bras have been good. So, across the board, PINK had a much improved April. And so, we're encouraged by that. Still a way to go in PINK, it is underperforming Victoria's, but we feel like we're getting there and making some progress. Thank you for asking about the Fashion Show, one of my favorite subjects. We were delighted to announce in May that the show is coming back. We had a pretty incredible response. To be honest 1.8 billion media impressions in about two weeks. And I'm really encouraged to say that it was 98% positive. We don't always get positive responses to our post, but 98% positive, it was our number one video on TikTok this year. And we picked up 130,000 new followers on TikTok following that. It was also very strong on Instagram. In terms of the marketing of the show and the positioning of the show, it's going to be -- as I said, it's going to be all about glamour, going to be feature runway, it's going to be fashion, it's going to be fun, wings, entertainment, but through the modern lens of who we are today. So, not exactly repeat of who we used to be, but picking up on the moments that people enjoyed most about our Fashion Show historically. It will also be the kick-off to our holiday campaign, and that's important. It's not just top-of-funnel halo investment. It's directly linked to our sales performance going into the all-important holiday campaign. And perhaps the biggest single element of difference will be that it will be merchandise-driven. That's kind of the headline for the Fashion Show throughout the business. It's merchandise-driven. It needs to focus our merchandise, not other people's. It needs to be fun, it needs to be less ethereal than we've been before, needs to be commercial, mainstream, and a great celebratory kick-off to the holiday season filled with joy. So, I hope that helps to give you some sense of what it is that we're trying to do, Simeon.
Simeon Siegel: That's great. Thanks, guys. Best of luck for the rest of the year.
Martin Waters: Thank you.
Operator: Next, we'll go to the line of Dana Telsey from Telsey Group. Please go ahead.
Dana Telsey: Hi, good morning, everyone. As you think about the swim category, how did the swim category perform? Where are you on the trajectory? And obviously, you've had some new product launches, too, like the reinvigoration of Body by Victoria. What did you see in intimates and panties? And then, Store of the Future, how did that perform versus the base? Thank you.
Martin Waters: Thank you, Dana. I think I got at least four questions there. Let me see if I can capture them all. Swim. So, swim right now if we take year-to-date, we're about flat to last year. However, we started late, we deliberately flowed swim later. So, we were playing catch up. I will tell you that April was terrific for swim. Swim has been difficult in the last couple of years across the board, which is hard to explain in the post-COVID era where people traveling more and going on vacation more. But it's been a tough couple of years, but I'm delighted that our recent performance on swim both in Victoria's and PINK driven by the Frankies merchandise has been really strong. So that's good. Body by Victoria, very strong. I mean, perhaps the most important bra launch we've had in the last three years and that it is our number one collection. And so, relaunching the entire collection across the board with some really stunning new features focused on comfort and everyday wear was a really big moment for the brand and that performed in-line or ahead of our expectations. So that was good. You asked about panties. Our panty business was very strong in April with about the strongest month we've seen in a while. It is a promotional category, as you know. We're not embarrassed to be promotional in panties, far from it. It's a traffic driver for the business. We've worked very hard on the quality of our panties and there have been significant structural improvements to that business over the last six months or so. It was one of the key priorities for Greg Unis and his team. When they took their leadership together about a year ago, one of the key focuses was to make the panty business as strong as it could be. So that's been a really big area of focus. And I might go to rest my voice, I might go to Store of the Future with you TJ, if that's okay.
Tim Johnson: Absolutely. Thanks for the question, Dana. We continue to be encouraged by Store of the Future performance in stores that have been recently remodeled and in many of the stores that have been opened as new. We have not opened as many new stores yet in 2024. So, we're really monitoring those stores that we touched, remodeled or opened in 2023. We are confident that those stores are outperforming the fleet. We're confident that we're getting the work done and getting our messaging across and creating a better shopping experience for the customer and doing it at a lower cost. So, our cost on Store of the Future continues to improve. In fact, we'll do as many -- we'll have as many activities this year or as many stores touched this year as last year, but do it for several million less. So, feel very good about the progress that we're making with Store of the Future. As we exit this year, we'll have about 17% or 18% of our fleet in North America in the new Store of the Future format and equally as impressive, as we exit the year, in our international business, we'll have about 30% of our stores in the new Store of the Future format. So, a significant amount work has been done, done well in a very short period of time. Thanks for the question.
Dana Telsey: Thank you.
Operator: Next, we'll go to the line of Lorraine Hutchinson from Bank of America. Please go ahead.
Lorraine Hutchinson: Thanks. Good morning. TJ, I wanted to ask about the SG&A outperformance in the first quarter, and if these cost savings are something that we can count on as we start to model growth for the rest of the year?
Tim Johnson: Yeah. Thanks for the question, Lorraine. I think you're taking a big step back. Really, we started on the cost journey probably 18 months or more ago, you may recall. So, in 2022 really all four quarters of the year were down from a cost perspective. Front half of 2023, same story in our VS and PINK businesses. It really wasn't until the third quarter when we reimagined the Fashion Show with the World Tour and brought that back that costs were up slightly year-over-year. So, we've been on the journey for an extended period of time. And the importance in mentioning that is, we, in our prepared comments, mentioned that when we think about buying and occupancy along with SG&A dollars, they were down to last year. So really that's the first quarter that's down on '23 which is down on '22. So, it's been a long runway of good work and really keeping costs in check has been somewhat cultural across the organization now. So, I feel very comfortable that we'll continue to be very diligent on cost as we move through the balance of the year on both the SG&A line and on the buying and occupancy line. And this is separate or in addition to the great work that's been done by the merchant and product sourcing teams and in terms of the cost of goods sold initiatives and lowering average unit cost in partnership with our vendors. So, feel very comfortable about the trajectory of keeping costs in check and really setting the business up nicely for the improving trends that we expect in North America as the year goes on setting the business up nicely for a very strong flow through.
Martin Waters: Thanks, TJ.
Lorraine Hutchinson: Thank you. And then, if I could just follow-up on the Fashion Show, as you think about the cost of that versus the cost of the World Tour last year, is it similar in magnitude or would we see an increase or decrease in that third quarter marketing expense?
Tim Johnson: Yeah. I think it's fair to assume that the Fashion Show cost this year will be lower than the World Tour cost last year. Again, keeping in mind the World Tour spanned many countries, many different cultures and a significant amount of work that took probably in round numbers 15 to 18 months to all come together. So, it's fair to assume that, if you just look at Fashion Show versus World Tour, the Fashion Show should come in at a lower cost. Having said that...
Martin Waters: It will.
Tim Johnson: It will come in at a lower cost. Having said that, we also make trade-offs in our business. So, I wouldn't want you to expect that all of those dollars, Lorraine, should flow through to the bottom-line. We'll want to make sure that, to Martin's point, we're supporting the Fashion Show with both top-of-funnel and lower-funnel as the support for kicking-off holiday and really launching holiday performance probably earlier than in a prior year in third quarter. So, it's not a dollar-for-dollar trade-off or dollar-for-dollar flow-through just because one's lower than the other, we'll be looking at the marketing spend in total, which we think, still across the year, will be down a little bit to last year, but we want to make sure we're doing everything we can to get the word out on some of the merchandise assortment changes, expansions and newness that we have coming. So, it's a holistic picture from a marketing perspective.
Lorraine Hutchinson: Thank you.
Operator: Next, we'll go to line up Brooke Roach from Goldman Sachs. Please go ahead.
Brooke Roach: Good morning, and thank you for taking our question. Can you speak to the level of customer engagement you're seeing in response to promotions relative to the full-price assortment? And as you do get these customer-driving traffic initiatives, are they beginning to cross-shop the rest of the store?
Martin Waters: Thank you for that question. Our level of promotionality is up a nudge year-over-year, keeping pace with how we see the market in total. What we experience with promotions is that it's a good way to bring people into the business as a whole, and yes, they do cross-shop. It's -- I won't say it doesn't happen, but it's rare for us to have customers who've just come in, take advantage of the promotion and nothing else. Generally, the promotion drivers impact the box as a whole. They're a great way of bringing new customers into the file. At any given time, about 40% to 50% of the customers that are coming into the business are new or reconverted, meaning we haven't seen them in the last 18 months to two years. So, promotions are an important part of the overall mix. I think that's probably about as much as I can say in response to that question.
Tim Johnson: Yeah. I think in addition to that, Brooke, I think it's important to understand we have a pretty rigorous test and control environment in the business. So, we are testing stores that have promotion, stores that don't have promotion, to make sure that it's a good do and drives both sales and gross margin dollars. I think that's one point. And I think the second point is you're kind of following along in traveling stores, you probably noticed that we did use our beauty business and some promotions from a beauty perspective to help get people across the leased line. And as Martin mentioned, particularly in the month of April where we did see more promotions year-over-year, you saw the whole box get better. You saw all three lines of business, both brands get better and perform as evidenced by PINK having its best month in several quarters. So, it wasn't necessarily always the promotion in PINK as an example, but just the way that we are using the traffic-driver mentality across the business to make the whole box rise.
Brooke Roach: Great. Thank you. And then one other question for you. Can you talk to the customer reaction to the marketing campaigns behind the sport business that you executed this quarter? How does that inform your plans for sport in the back half of the year?
Martin Waters: Yeah, thank you for that question about sport. The response to us being in the sport business has been overwhelmingly positive. We see that in two ways -- maybe three ways. First, our sales compares to prior year significantly, very significantly, particularly driven by sports bras. Secondly, the response to social media and to our marketing is very positive, amongst the most positive that we have across the system. And the third is a bit like I said with promotions, the halo that it has to the business as a whole, but part of our strategic intent is to be in broader categories that give more reasons for the customer to come to us. And as we know, sport is a well-shopped category, but we were wrong to have exited, wrong to have got out of that business. It's taken us frankly longer to get back into the sport business than we would have liked, but we're now doing so with real conviction. And what we're doing right now informs what we will do during July and August as we put even more conviction behind the sport part of our business. I will say that we've seen a market share uptick already in sports bras, which to see an instant reaction like that is particularly encouraging. So, more of the same for the balance of the year I think would be the answer.
Brooke Roach: Great, thanks so much. I'll pass it on.
Operator: Next, we'll go to the line of Ike Boruchow from Wells Fargo. Please go ahead.
Ike Boruchow: Hey, good morning, everyone. I guess, just wanted to understand a little bit more the promotional environment. TJ, can you just talk about the intensity you're seeing? And then, I'm really most interested in what's embedded in [your plan] (ph), both for the second quarter and remainder of the year? Are you planning to pull back on promo at any time? Is that baked into your guide? Or again, just trying to understand how you're kind of level-setting these. Thank you.
Tim Johnson: Yeah, thanks for the question, Ike. I know there's been a lot written and a lot of attention paid to promotions across retail. I think from our perspective, the promotion level year-over-year in first quarter did impact our gross margin rate slightly and was effective in the business as evidenced by driving past our original guidance from a sales perspective and the strength across those brands, as Martin mentioned. So, we're confident it was a good do in first quarter. As we move through second and third quarter, we start to anniversary what we thought was a more promotional environment last year. So, our year-over-year compares probably won't be as noticeable in the gross margin rate as we move forward as they were in the first quarter. Having said that, I don't think it's appropriate for us yet to start to think about letting up on promotion. And the reason I say that is, as we move into the fall season, I think it's fair to assume the environment could continue to be challenging from a consumer standpoint. We're going to head into a national election cycle, which again from a media standpoint and how we break through will continue to challenge the business or challenge retail in general. And then, as we move into the fourth quarter, as you know, we have the shortest time on our calendar this year between Thanksgiving and Christmas. So, the shopping days and the importance of each day will be more and more compressed. So, it would be difficult to imagine taking our foot off of the gas on promotions in this type of environment that we expect going forward. Having said that, as I mentioned, we feel very comfortable that what we're doing is driving incremental sales and incremental gross margin dollars. We've tested it. We feel very comfortable in how we're managing inventory as evidenced by delivering our inventory guidance in first quarter. And I think what's in front of us and what we're more hopeful and more focused on is just as the newness grows -- the newness should only grow from here from a merchandising perspective. And what does that suggest from a pricing and promotional standpoint is something we are going to learn also. So, I feel very comfortable about how we are managing the margin and inventory in the business.
Ike Boruchow: Thanks a lot.
Operator: Next, we will go to the line of Warren Cheng from Evercore ISI. Please go ahead.
Warren Cheng: Hey, good morning. Thanks for taking my question here. I was wondering if you can give a little bit of a deeper diagnostic on why the international business is outperforming so significantly here, especially in China. I know there are some key structural differences. Is it something structural, or are there lessons that you could learn from and apply to the US?
Martin Waters: Yeah, thank you for that question. Maybe I'll give some context to international as a whole and then go a little deeper on China. So, our international business continues to be extremely strong. It has been strong for a decade, but for two markets where we had challenges; one was the UK, one was China. When this management team took over, we changed the structure of both of those businesses to eradicate the losses that we were seeing. And so, the business has gone from strength to strength in all five areas of the business. We're now at nearly 550 stores around the world. We have more digital sites than I can remember to count, multiple tens of digital sites. And we've seen excellent growth in retail sales and system-wide sales. I think we're in 65 countries with a physical presence, and we're shipping to over 200 countries. And we're super excited about the response that we see. Just a couple of weeks ago we launched a new store in Madrid. Fantastic response. So, just about all around the world, wherever the brand is popping up, we are seeing strong performance. We are also seeing strong performance on a like-for-like basis, which is very encouraging. So, we will continue to focus on both physical retail and digital, about 90 new stores this year through our partner network. You're right to point out China as being very important. The big structural change that we made there, which was a fantastic decision, was to partner with Regina Miracle, experts in China, experts in intimate apparel, long-standing partners of ours. We've been in business with them for over two decades and we're fantastic partners both in the domestic business and in the international business. That was the biggest single change. We market the brand around the world in an elevated way. We find that we can be slightly less promotional in our international markets. We command a higher retail price than we do in the domestic market. And generally, working from a base of low-single digit share is much easier than working from a base of 20% or 25% market share. So that's a big thing to remember in the difference. The overall presentation of the brand is substantially similar, and I think to the untrained eye, most people would say it's exactly the same, but under the covers, there are some important differences, particularly around size curve, around mix of merchandise, some color variations, some category focus. We have less of a focus on PINK in our international markets, more of a focus on glamour. So, there are definitely differences and that team is now 15 years old with many members of that team being there from the beginning. So, very skilled, very practiced in how to market internationally and the team just gets better and better. So big shout out to them and the China team for everything they're doing. I'd be remiss not to mention the UK as well, where our partner Next is a fantastic partner. They know that market better than we do. They buy real estate better than we do. And we've moved that business from being loss making to being nicely profitable. We had to close our flagship store on Bond Street because the lease was up after about 13 years of occupation. And we'll be delighted to open a new flagship store in London next year. So, that's an exciting milestone for the brand. So, all in all, international is a very, very positive story. Thank you for asking.
Warren Cheng: Thank you, Martin. That's a really useful color. And then, as my follow-up, you talked a little bit in the prepared remarks about utilizing the new customer data you're getting from the multi-tender loyalty rollout. What's in the hopper there in terms of how we may see [you leverage] (ph) those insights?
Martin Waters: Yeah. So, good question on insights. We -- Chris Rupp joined our business about 18 months ago, and her primary focus is in the area of insights, data, and customer experience. And we've made incredible progress across each of those areas. I mean, if I take digital enhancements, which is adjacent to data, since the beginning of Q1, we've had 75 new releases that are customer-facing. We've had 45 new releases that are non-customer-facing. More releases, more activity than we've ever had. All of that is generating important insights for our customer and a stronger digital performance, which is driving our share in the digital environment, which is particularly interesting because most of our competition and all of the new competition that we've seen over the last five years is in the digital marketplace. So, we're encouraged by that. Specifically on loyalty, as you know, we moved from a credit card arrangement to a multi-tender arrangement, and that's built our business to about 80% of our sales coming through that device. And something like 30 million customers taking advantage of that, which gives us a tremendous platform on which to learn. I would say we're at the beginning of the beginning of how we market to that audience on a personalized basis, but the future of marketing in this country and around the world will be personalized. And so, having a very strong data estate, having a relationship with customers where you understand their preferences, informs the opportunity to give them a curated and individual experience. And that's the new frontier for us. As I say, we're at the beginning of the beginning, and so I see upside in that arena. I'm very grateful that we have the team that we have working on it because we've significantly enhanced our capability in that area in the last 18 months or so.
Warren Cheng: Thanks, Martin. Good luck.
Martin Waters: Thank you.
Operator: Next, we'll go to the line of Jonna Kim from TD Cowen. Please go ahead.
Jonna Kim: Thank you for taking my question. It was nice to seeing [indiscernible]. What's your expectation for the remainder of -- for that particular business? And also, we'd love to get any update on the Adore Me business? How's that tracking versus your expectations? Thank you so much.
Martin Waters: Yeah, we got the Adore Me question, but we didn't get the first question. Sorry, could you repeat the first question?
Jonna Kim: Yeah. Just on the PINK business, you've seen improvement there. What's your expectations for the remainder of the year? How that business will evolve?
Martin Waters: Sorry, none of us got which business you're talking about. Could you say it again slowly? What business you're talking about?
Jonna Kim: Sorry, it's the PINK business, PINK.
Martin Waters: PINK, got it.
Jonna Kim: Yeah.
Martin Waters: Okay, I'll take the Adore Me question first. So yeah, Adore Me is going well. For the year, we're on track for growth in sales and operating income. We continue to work very closely with the team on technology and marketing synergies. Reminder, we set out at the beginning of the year to pursue three synergies. The first was to sell Adore Me on VictoriaSecret.com and to do so in a dropship environment, so we don't carry inventory; done. Very strong performance in that arena. Adds to our curated marketplace. Gives us broader size inclusivity than we've had before. Gives us access to different kind of fashion and price point than we've had before. So, please with that. Second synergy was around Try-On at Home, very important marketing initiative. And I should have mentioned that when we were talking about data in the previous question, we have been in test mode for the last couple of months on Try-On at Home that we hope that that will go live later this year and will be a very exciting and interesting marketing innovation driven off of the Adore Me platform. And then thirdly, other loyalty-based features like subscription and other member services, which will come in 2025. So, whether it's in the core standalone business where we're seeing good performance from Adore Me and from Dailylook, or whether it's on the technology side, we're very pleased with the way that things are going. And as we get to the end of the year, we'll anniversary the second year of our ownership of that business. The other thing that's interesting about Adore Me is that they provide an incubator opportunity for us. So, as we think about AI and GenAI in particular, Adore Me is the tip of the sphere there. They're small, agile, technology-led business who can test and tiptoe into that kind of environment for us, and Victoria's Secret can pick up the learnings on the back end. So, we're very pleased to have Adore Me as part of our family, and delighted with how things are going. In PINK, as we repeatedly say, it's a turnaround strategy. It could not have been more off color. If we think about two years ago when we identified the problems in that business, the business had got away from the core of who the customer is. We want that customer to be collegiate, youthful, evolving, confident, optimistic, and the assortments that we had two years ago didn't look like that at all. So, the team have been rebuilding. We have new talent in place who've been in place for the last 12, 18 months, and they're really getting after it and re-energizing the entirety of the company. I would say the four watchwords that I would give you around PINK are youthful, evolving, confident and optimistic. That's what you should see from us. And that shows up in the categories that are performing best for us, which are, to repeat myself, the Frankies collaboration, Flare bottoms, the Natalia Bryant collaboration was very strong. We see good growth in sleep, in sports bras, in corset tops, across the board where we have merchandise that points that useful, evolving, confident and optimistic we're doing well. So, very pleased with the team and how they're doing in that environment. More to do, no question. It remains a drag on the company as a whole, but cautiously optimistic as we go into the rest of the year.
Jonna Kim: Thank you so much.
Operator: Next, we'll go to the line of Alex Straton from Morgan Stanley. Please go ahead.
Alex Straton: Perfect. Thanks so much for taking the question. Maybe one for Martin and one for TJ. So, Martin, you noted some intimates market improvement in North America. Any sense for what enabled that trend change and then the magnitude? I'm wondering if it impacts your view from here. And then, TJ, just a pretty upbeat on the digital result, though I did notice the sales declined year-over-year after growing throughout last year. So, can you help me just understand the change in trends there? Thanks so much.
Martin Waters: Thanks, Alex. Appreciate the question. So, I'll take the market share question. I think there are three headlines in my mind about market share. Number one, the overall market decline that we've seen for the past five quarters improved. Now, there're some noise in the first quarter around 53rd week and Easter shift and so on. So, it's not a brilliant compare to prior year, but undisputedly the overall market was better in the first quarter. Not a massive turnaround, but it was definitely better. Second headline would be, as I said earlier, our share remains essentially flat at 20%. There are some puts and takes within the digital up a nudge, stores down a nudge, sports bras showing growth for the first time in as long as I can remember, and solid performance in bras and panties. The third headline would be around what we call Marpril, March and April, which was the strongest performance we've seen in a while. I really don't want to get into month-on-month looking at reviews of market share. It's a very short period of time, but we are encouraged that both the market and our performance were good during the market -- during the Marpril period. So, early days. We're pleased that it looks like a turnaround in the market that we'd anticipated might not happen until the very back end of this year. So, hope that it sustains and builds from here. Why would it be? I don't know. I mean, we were very surprised that there was a decline at all, over the long run that we've been in -- that I've been in this business 16 years, don't remember seeing decline in the intimates market. So, it's unusual to have had decline. And so, I hope it's a return to situation normal. Nothing overly structural going on in the world at large as far as we can detect. So, probably just a normalization and a correction I would say. TJ?
Tim Johnson: Yeah. Your second question, Alex, on the -- from a digital perspective, again, really looking at trends throughout the quarter, as much as the quarter in total. So, we saw the digital trends move in a positive direction throughout the quarter, again, supporting April, it's the biggest month, and also outperforming stores. So, we're seeing digital grow as a percent of the mix. As Martin mentioned, the volume of customer-facing changes, again, the cumulative effect on that is what we're seeing build through Q1, obviously sets us up well for Q2. I think additionally, just from an actual reporting standpoint, as we come across the end of the quarter, we really recognize sales based on when the customer receives it. So, the importance of that is, again, as the business got stronger as we moved through the quarter, on a retail basis, we could see the sales happening at the end of April. Those likely get recorded in May when the customer receives the product. So, there is a little bit of timing difference there. And then, again, the feedback on the enhancements to the site, whether it's fewer clicks or removing category, landing pages, visual search, shoppable video, Martin mentioned Try-On at Home and test mode, just the volume of opportunities and strengths that we've built over a number of months and invested in are just now coming home and starting to show up in a positive way in results. So, we're seeing that show up in better traffic trends. We're seeing it show up in improved conversion, again week-on-week, month-on-month. So that's what we're really pointing to when you hear us talk optimistically about the digital business. What we're seeing currently and what we know is kind of that cumulative or building effect that will support the balance of the year.
Martin Waters: Thanks, Alex. Ivy, let's go with one more question. I think we have time for one more, please.
Operator: Our final question will go to the line of Marni Shapiro from The Retail Tracker. Please go ahead.
Marni Shapiro: Hey, guys, congratulations. Honestly, PINK is notably different. And I loved your comment about off color, because I think the colors now look significantly better. I'm curious if you could just talk a little bit more about PINK though. Are you seeing the lapse shopper come in? Are you bringing in a new shopper there? And I'm curious how you feel about -- I know the apparel inventory has been a big part of the conversation there. How do you feel about the level and the balance of apparel versus intimates at PINK? And how should we think about where that balance is in the back half of the year?
Martin Waters: Thank you, Marni. And as always we appreciate your encouragement. For those that don't know, Marni runs a fantastic tracker that gives us real-time feedback and other brands. And you're more right than not, Marni, I will tell you. And we are pleased that the performance in PINK is across all categories. So, our intimates business has been good and our apparel business has been better. You're right to suggest that the balance between those two might adjust. I think we got overly long in intimates and under invested in apparel. And that's primarily because what we were doing in apparel wasn't working, it became self-fulfilling that we had less inventory and we had less buy. We got to change that. PINK is fundamentally a young person's brand who shops multiple categories. She comes into the franchise through apparel. We've got to be good at apparel. It's the most important thing to do. So, you should see the balance -- still seeing that intimates is important, but less dominant on intimates, more dominant on all aspects of apparel. In terms of the customer, clearly it's a Gen Z customer. The good news -- very, very, very good news for Victoria's Secret & Co. as a whole is that we over-index on Gen Z, we really do, particularly on Victoria's Secret. So that gives us an unfair advantage that if she is coming in for Victoria's Secret, we should be able to get her for PINK at the same time. It's really, as you know, all about the merchandise. The customer is there. She has high curiosity for what we're doing. We just got to deliver really compelling merchandise assortments. And as I said, I feel confident the team are on it. We're being more bullish and we're putting more of our inventory behind the brand as we get more conviction, as we get more confidence, and we see the results coming in. So again, thank you, Marni, for your encouragement. And thank you everybody for your calls this morning. We appreciate it.
Kevin Wynk: Thanks, everyone. That concludes the call this morning. We appreciate your continuing interest in Victoria's Secret. Have a great day.
Operator: Thank you all for participating in the Victoria's Secrets & Company first quarter 2024 earnings conference call. That concludes today's conference. Please disconnect this time, and enjoy the rest of your day.